Operator: Good morning, ladies and gentlemen and welcome to the Cooper-Standard’s Third Quarter 2014 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded this morning and the webcast will be available for replay later today. I would like to turn the call over to Glenn Dong, Vice President and Treasurer. Please go ahead.
Glenn Dong : Thank you and good morning. Please note, that certain information in this call may be forward-looking and contains statements based on current plans, expectations, events, and market trends that may affect the company’s future operating results and financial position. Such statements involve risks and uncertainties that cannot be predicted or quantified and that may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask you to refer to the company’s filings with the Securities and Exchange Commission. This call is intended to be compliant with Reg FD and is open to institutional investors, security analysts, media representatives and other interested parties. A reconciliation of certain non-GAAP financial measures used during this call can be found in the appendix of this presentation. At this time, I would like to turn the call over to Jeff Edwards, Cooper-Standard’s Chairman and Chief Executive Officer.
Jeff Edwards: Okay, thank you Glen and good morning everyone. On slide four, I will begin with an overview of the industry. Overall, the global economy is struggling to gain momentum, which is mostly attributed to downturns in Brazil and Europe. For the year, IHS has reduced its forecast in Brazil by 4.3% and is also reduced its 2015 to 2021 Brazil forecast by 347,000 vehicles annually. Our customers in Brazil have significantly reduced their production volume. While sales in North America were solid, vehicle mix impacted production levels as some key platforms saw a decline in sales year-over-year. Turning to slide 5. As we look at the quarter, the volume declined in Brazil together with an unfavorable exchange impacted results. Additionally, we had five weeks of downtime in a significant platform from one of our largest customers which also impacted the quarter. From a long-term perspective, we had an active and productive quarter, executing our profitable growth strategy. We had notable additions in Asia which I will provide in more detail in a moment and we completed the sale of our thermal and emissions business as a part of our decision to focus on four core product lines. During the quarter, we sold three breakthrough technologies that have been brought to the market through our renewed focus and investment in innovation. Slide 6 provides an overview of activities across our regional operations. In Europe, we made good progress on improving margins, bringing them more in line with our global standard. Our Serbian facility which began equipment move in during the second quarter of 2014 is on schedule to begin production. We also added fluid transfer systems capability in Spain to service growing vehicle production there. In North America, we continue to manage a very active launch schedule with 11 major launches across 17 facilities. Our customer cards are gauged on launch performance and we’re tracking green on customer metrics for all major launches. As I indicated previously, our customers mix in North America negatively impacted our third quarter results. In South America, the challenges associated with the Brazilian economy have been well publicized and are impacting the entire automotive sector. The combination of reduced vehicle production and FX volatility also negatively impacted our third quarter results. Our team in Brazil was flexing the lower volumes and managing the overall impact. In Asia, we celebrated the grand opening of our Shanghai technical center providing additional engineering support for our customers in the region. We also continue to expand our presence in the region and announced two important transactions in the quarter, accelerating our growth in the region. I will elaborate more on these on the next slide. Slide 7 provides a summary of the two important transactions that enhance our presence in the Asia Pacific market. Growing our presence especially in China is essential to our profitable growth strategy, given that China alone will produce a third of the world's vehicles by 2020. In early September, we announced an agreement to purchase an additional 47.5% of Huayu-Cooper Standard Sealing Systems Company. Upon completion, Cooper-Standard will become the 95% equity owner of the largest Chinese automotive sealing manufacturer. This transaction positions us as the clear leader in sealing systems in the Chinese automotive market, which enables us to better support our customers on global platforms, while at the same time capitalizing on growth opportunity with domestic Chinese automakers. In addition, early in the quarter, we also announced the formation of a joint venture with INOAC. The INOAC joint venture accelerates our FTS strategy and leverages each company's technology strengths customer relationships, rubber and plastics, knowledge plus our established footprints. It provides Cooper-Standard with better access to the Japanese customers and adds further support to global platforms. The map on slide 7 illustrates our updated footprint in China and the additions of the locations associated with both of these transactions. We anticipate both of these transactions to be completed in the first quarter 2014. On slide 8, is a recap of the quarter. We're very pleased with our progress on strategic initiatives in the quarter which have accelerated our growth plans in Asia and China specifically. We're reaffirming our full guidance as previously stated. As we look to the full year of 2014, we continue to anticipate achieving double digit adjusted EBITDA for a closely monitoring Brazil volumes in vehicle mix based on the impact they had on our third quarter results. I'd like to now turn the call over to Allen Campbell to discuss our financial results. Allen.
Allen Campbell: Thank you, Jeff. Before I get into the numbers, I'd like to give you some key takeaways for the quarter. As Jeff mentioned, Brazil we saw was a challenging environment for us with slowing economic growth, decline in vehicle production and weak currency. For the quarter, our Brazilian operation accounted for a shortfall in excess of $9 million to our adjusted EBITDA when compared to the prior year quarter. Despite these challenges, we still manage to continue to gain share as we position ourselves for the longer term. In North America, our sales increased from prior year quarter. However, vehicle mix was unfavorable and given that a material amount our North American sales are in Canadian dollars, we saw effects of the stronger U.S. dollar impacting our result. Our European operation continues to deliver margin improvement, despite vehicle production decline in the quarter. Lastly, it's worth noting we continue to invest in engineering and other resources in Asia to support our growing presence in the region. Turning to slide 11, Cooper-Standard sales were up 2.2% when compared to the same quarter previous year. Sales were favorably impacted by higher vehicle production levels in North America and Asia-Pacific, share gains in Europe and sales from Jyco acquisition. Sales in the quarter were unfavorably impacted by $3.1 million in foreign exchange movement predominantly as a result of stronger U.S. dollar against Canadian dollar. In North America, operations reported sales of $413.5 million up 1.2% from prior year quarter driven by higher vehicle production levels and the incremental sales from our Jyco acquisition. This was partially offset by product mix, sale of our thermal and emission product line and unfavorable foreign exchange of $3.4 million. In Europe, we continue to gain market share with sales up $7.2 million or 2.8% in a relatively flat market. Sales in Asia-Pacific business were up 14.7% versus the market of 4.7% as a result of increased volume in the region and incremental sales from our Jyco acquisition. Turning to the South America region, Brazilian market continue to struggle with production dropping more than 20% during the period which have resulted lower sales for us. Sales of non-consolidated joint ventures generated revenue of $110 million up 2% from the prior year. Moving to slide 12, gross profit in quarter was $111.3 million or 14.2% of sales compared to $115 million or 15.1% of sales prior year quarter. Lower gross profit margin in the quarter was primarily driven by unfavorable foreign exchange, customer price concessions, higher staffing cost and other operating expenses partially offset by our cost saving efforts. SG&A expense for the quarter was $67.4 million or 8.6% of sales compared to $73 million or 19.6% of sales prior year quarter. Operating profit of $53.5 million or 6.9% of sales, which included a gain on sale from our thermal and emissions business. Our net income for the quarter was $22.7 million, fully diluted earnings per share for the quarter was a $1.23 on a year-to-date basis we generated $55.6 million in net income and a fully diluted earnings per share of $3.07. Our net income on the year-to-date basis was affected by $18.9 million or one-time loss in connection with our debt extinguishment in the second quarter of 2014. On slide 13, we show a reconciliation of our $239.4 million of adjusted EBITDA that we generated for the first nine months of the year. This will walk through starting net income of $55.6 million. We made customary adjustments to these large one to note is our gain on our sale of thermal and emissions business that we've projected out of these numbers. Slide 14 shows our year-to-date cash flow, the business generated $172.2 million in cash prior to changes in operating assets and liabilities. We utilized approximately $83.5 million to finance changes and operating assets and liabilities which included our working capital requirements and investments in tooling. As of September 30, we carried approximately $158 million in tooling our balance sheet. We're anticipating our tooling balance decline with the connection with the recent F-150 launch. Our capital expenditures for the quarter we $154.3 million, which is in line with our guidance of $195 million to $205 million for the year. Overall, we ended the quarter with $244.9 million of cash on the balance sheet. Coming to other financial metrics continuing very strong to net leverage of $541.2 million, our net leverage to adjusted EBITDA of 1.8 times and interest rate coverage of 5.9 times. In conclusion, we reaffirm our initial guidance for 2014 as indicated in slide 15. And at this point, I would like to open the call up for Q&A.
Operator: Thank you. (Operator Instructions) Your first question comes from Jon Ralph at Grand Capital. Please go ahead.
Unidentified Analyst : Hi, it's Jon at [indiscernible] Capital. A few questions for you guys. Wondering if you could give any sort of rough guidance in terms of what the revenue impact was A from the three week down time of the large customer and secondly from the sale of the thermal and emissions business?
Allen Campbell: Okay. We've noted in the past that our F-150 volumes in excess of $400 a vehicle. So you can use that number and figure out the impact from just that particular volume. And on thermal, I am not sure we published sales numbers. No, we haven't published sales numbers at this point but, we will take a look at that and see what we can do.
Jeff Edwards: Just to clarify Jon, that was five weeks not three.
Unidentified Analyst : Five weeks. Okay, great. A couple of other things. Just to confirm I guess. So to get to the sort of double-digit adjusted EBITDA margin for the year, it looks like back in into it, it would require some close to an 11% EBITDA margin in Q4. Presumably a fair amount of that is going to depend on stemming some of the losses down in South America. Can you just talk a bit about, you mentioned that you are flexing on an expense basis there, I mean what is your ability to sort of respond in the short-term and limit losses down there and sort of what's going to be involved in doing that?
Jeff Edwards: I think from our standpoint given our outlook at least as we sit here today for the next 60 days in Brazil, we believe that we can manage through the outlook as we now like in my remarks I commented that there is still obviously some risk there but as long as they hold to what they've told us at this point. We believe that we can flex and manage through it for the quarter.
Unidentified Analyst : And the turnaround in Europe on a pre-tax basis was really nice and good to see. Is that sustainable, was that just sort of results finally showing through from the restructuring that you guys have been doing there sort of on a consistent basis.
Jeff Edwards: I'd say that the short answer there is, yes, it's sort of all of the above. As you know, we've turned over our management team in Europe quite significantly over the last 15, 16 months. So I think they've got some good traction, the answer regarding sustainability going forward is we believe that to be the case, the volumes there continue to bounce along the bottom as we like to say. But assuming that they don't deteriorate going forward. We feel that the margin improvements in Europe will continue. And as you also know, we've just started into our Serbia launch, so we are on schedule for that. That will continue to help us improve margins as we go through 2015.
Operator: (Operator Instructions) And your next question comes from Gentry Klein from Cetus. Please go ahead.
Gentry Klein - Cetus : Hi my one of my questions was just answered on the confidence on Q4 guidance. Maybe can you help us understand a little bit as far as 2015? Can you give us guidance on 2015 if not when do you plan on giving us guidance for 2015 and also maybe to even answer it a little differently. Can you help us understand the impact from the Serbia plant as well as the consolidation of JVs on the earnings side for 2015?
Allen Campbell: For 2015, we anticipate releasing that in February with our year end results. So we will be providing more guidance at that point. If you look at Serbia, what we have said when it’s all-in it'll save $25 million a year on a run-rate basis. We're still moving production there and it's early in the ramp-up, so we will not see a large amount of that at all in '15. But it'll start substantial portion of that will be in '16.
Gentry Klein - Cetus : Okay and what about -- what about JVs.
Allen Campbell: Couple of things on the JVs, we announced that we're buying out our major JV and reached an agreement anyway to purchase one in China, so we're going to bring down on our books that's consolidated business will bring north of depending on the time periods between 160 million and 170 million in sales next year. And then we've a French JV where we're 51% you'll see the consolidated results in our numbers today. We're obviously working through the downturn in Europe and managing that as we go forward. So it'll be today it's not near our average for the company's margins, its less than that but we'll be working to head back to that direction overtime.
Gentry Klein - Cetus : Got it, okay, I recognize you're not giving 2015 guidance for February for purposes of thinking about it and framing it. Can I look at it from the perspective of this year if you hit your guidance you'll be doing at least 330 million of EBITDA and that that's assuming you hit the low end 10% of double digit margins not even anything higher than that, so is it fair to say 330 million plus on a pro-forma basis for Serbia I'm recognizing it's not going to hit 2015 but on a pro-forma basis when it does roll-in that's 25, I'm guessing another 15 or so from the Chinese consolidation so collectively that's 40 so you're at 330 plus 40 that should be 370 and that's not including any volume increases globally or any other margin improvement. So am I thinking about it correctly, when I say that on a run-rate pro-forma basis maybe if it's not specifically 2015 given the timing of some of these actions what we should be running at -- at least 370 million, 375 million plus I would imagine it should be well over 400 given the volume increases on a pro-forma basis at some point in the not too distant future.
Jeff Edwards: It'll be hard to argue with some of your points there. So, I think as you mentioned we're looking at 25 all in when Serbia is up, running and complete and the China business will bring us a material amount of EBITDA to us as we consolidate.
Operator: (Operator Instructions) And there are no further questions at this time. So this concludes our conference call today. You may now disconnect.